Sam Pazuki: Welcome to the OceanaGold First Quarter 2015 results call and webcast. Thank you for joining us today. My name is Sam Pazuki. I am the Investor Relations Manager for OceanaGold. On the call with me today is Mick Wilkes, Managing Director and CEO; Mark Chamberlain, Chief Financial Officer and Edward Sagun [ph], Corporate Controller. On today's call and webcast we will discuss our first quarter 2015 financial and operational results and we will also discuss the announcement related to the proposed Waihi Gold Mine transaction. Before we proceed please note that all references in this presentation that you're about to hear adhere to the international financial reporting standards and all financial figures are denominated in U.S. dollars unless otherwise stated. Also note that the presentation contains forward-looking statements, which by their very nature are subject to some degree of uncertainty. I now turn it over to Mick Wilkes to begin the main portion of the presentation.
Mick Wilkes: Thanks very much Sam and good morning and good evening to everybody on the call and thanks for joining us. I am very pleased to deliver the first quarter results for OceanaGold and the excited news about the potential acquisition, proposed acquisition of the Waihi Gold Mine in New Zealand. So on slide number 3 we had another very strong quarter of production, this is second consecutive quarter record of gold production from the Didipio. We produced mining 1,000 ounces of gold and 6,100 tonnes of copper across the company at sector leading prices of $400 an ounce, cash cost and all-in sustaining cost of $630 per ounce. We generated very strong revenue and profit generation despite lower of gold and copper prices and generated $19.4 million in free cash flow after all costs. We generated strong margins in New Zealand, as a result of a weaker New Zealand dollar, low diesel prices and improved productivity. Revenue for the quarter was $129 million and EBITDA of $60 million. From the $19.4 million of free cash flow we increased cash balance by another $5.4 million and repaid debt of $13.4 million. On the 30th of April we will pay, that's today, we'll pay a $0.04 per share dividend, which totals $12.1 million as previous announced. On the exploration front we have commenced geophysical surveys at the Paco tenements in the Philippines and have had some promising drill results at Didipio. And the very exciting news is that we have signed a non-binding letter of intent with Newmont to acquire the Waihi Gold Mine. And I will go into detail on that acquisition after the initial presentation on the quarterly results. Moving to page number 4 and a summary of the Q1 results. Strong production at Didipio 31,000 ounces produced copper tonnes of 6,100 tonnes and had an all-in sustaining costs for Didipio after co-product credits of $2.10 per ounce. In New Zealand another strong quarter 56,000 ounces produced and very importantly the all-in sustaining cost at New Zealand from both our Macraes and Reefton operations of $913 per ounce. On a consolidated basis therefore 91,000 ounces, 6,100 tonnes of copper at an all-in sustaining cost across the Group of $630 an ounce, which puts us well on track for our consolidated guidance for the full year, excluding the proposed Waihi acquisition. Turning to page number 5 and Philippines, we did have a record second quarter - second consecutive quarter of record of gold production. We have commenced the development of the underground Dayton [ph] and now down about 50 meters and that's progressing particularly well. We have enhanced the milling circuit during the quarter, increasing the pebble crusher utilization. The construction of the power line continues as planned and we still expect to connect to the grid in the third quarter towards the end of the third quarter this year. And as I mentioned earlier we have had some promising driven results of the Didipio and we are following up with further drilling around those recent drilling results. For those of you that report on a co-product basis the table on page 5 shows you the gold equivalent ounces produced at Didipio of almost 62,000 ounces and co-product cash costs of $468 and co-product all-in sustaining costs of a very competitive $635 per ounce. Moving on to page number six, and the Didipio operating statistics, I'm very pleased to report that there were no lost time injuries again at the Didipio. In fact there were no lost time injuries across the company and the safety performance and culture of the business continues to improve. We mined 1.9 million tonnes of ore, 4.8 million tonnes of waste at good grades of 0.82 gold and 0.53 copper. The mill feed was 830,000 tonnes which was slightly down on the previous quarter but only as a result of a major shutdown to do some improvements to get pebble crusher utilization up a bit. The mill feed grades was 1.45 grams per ton and the copper grade was 0.76 and recoveries continue to improve. So a very good, another very good quarter at Didipio and it's continuing to meets all of our benchmark targets. Moving on to page 7 and the highlights for New Zealand, steady production from New Zealand at stronger profit margins. These were generated from lower fuel costs, a weaker New Zealand dollar which has increased our profit margins. We're also benefiting now from successful cost reduction programs through the optimized mine plans and we're seeing significant cost savings being generated. Strong profit margins in particular from Reefton due to reduced material movement and higher productivity from Macraes with record quarterly mill feed at Macraes after 24 years of operation. In addition we have commenced exploration at the Macraes mine for surface, more surface ore resources and so we are doing exploration for open cut and underground targeting mine life extensions. And we recently announced an extension to the underground mine life at the FRUG underground mining operation. We are spending about $8 million New Zealand over the next two years on exploration, both at surface and underground to increase resource and reserve base, in particular increase our reserve base in mine life at Macraes. Some operating statistics on page number 8. Again no lost time injuries very pleasing and total ore mined was just under 900,000 tonnes, total mill feed was 1.56 million tonnes which is a record and a mill feed grade of 0.96 and recovery is up a bit because of the difference in material coming through from the Coronation orebody with some upside material in that feed. And as I mentioned we initiated the brownfield exploration program along strike and underground at Macraes. Moving on to Reefton, we on page number 9, apologize I have made a mistake, we did have a lost time injury at Reefton. We had good gold production at 17,500 ounces at Reefton for the quarter which was up on the previous quarter. You'll see the total waste mine there and ore mines 1.8 and 0.5 million tonnes respectively, showing low strip ratios compared to a year ago. Good grade in the mining 1.51, good mill feed 3.43 and mill feed grade. So a strong performance from Reefton notwithstanding that one lost time injury that we did have at Reefton. The financial position, I’ll ask Mark Chamberlain to go into this in more detail but basically we continue to strengthen our balance sheet by paying off debt. We now have a net debt position of $45 million after free cash flow of $19 million in the first quarter and we do have the dividend payment coming up today as well. Moving on to, so I'll just ask Mark to go through the financial results please on page 11.
Mark Chamberlain: Okay. Just on page 10 just the highlights there liquidity at the close of first quarter, cash was up $51 million to $60 million our undrawn revolving credit stood at $97 million giving us total liquidity at the end of the quarter $157 million, as we noted at the bottom there but our credit facility amortized some $25 million at the end of the quarter. So as of the 1st of April our total liquidity stood at $132 million. Our debt was down north of $10 million on the corporate pit to $78 million and we repaid $3 million of [indiscernible] leaving us total debt of $105 million and net debt of $45 million. As Mick noted there is a dividend payment today at some $12 million. Moving to the consolidated results on page 11. As you'll see gold sales was down very slightly some 2% from the first quarter. Copper sales almost even. The gold price received are $6 down. The copper price was down. I should note that that copper price was - there is an amount that I’ll discuss it more in the MD&A. But that price we have [indiscernible] after taking the account, final price adjustments and the mark to mark reevaluation that occurred from when we book a sale as the concentrator [indiscernible] and when it is booked with the offtake party which is after the bill of lading. So there was some - that process dropping low there because the adjustments were higher in the first quarter because of the drop, considerable drop of the copper price in January. I think the important thing to note is that the average provisional price we received for shipments throughout that quarter was in fact $2.59 and as we mentioned before we hedged the price that we received or 90% of the price as the set with the concentrator party is 15 days after our bill of lading. So that we don’t have any surprises and the final adjustments occur some three months after the month of arrival of the concentrate. So realized [ph] price there is really a mathematical construct for accounting purposes. We predict the cash flow through the hedging of the actual price set with the concentrate purchaser. Moving down on revenue there was a drop of some $13 [ph] million slightly lower prices and ounces. What we are operating - we also turned down some $8 million [indiscernible] but very, very healthy EBITDA of some $61 million. Depreciation is down from $34 million to $28 million. That's because of the extra Europe front prices [ph] which we have to spread depreciation over and slightly lower ounces in New Zealand. Interest and finance costs are slightly down on the previous quarter, which led us to have earnings before taxes of some $30 million. The line below that there is the reevaluation of our hedges. In the previous quarter there was a 10 million gain in this quarter a write back of $9 million and leaves us with a net profit of $24.5 million for the quarter. Moving to the next page, page 12 where we set out the cash flows. We have an opening cash balance of $51 million, inflows, operating inflows of $43 million and investment of some $24 million which gave us a free cash flow of $19.4 million for the quarter. Financing cost of $13 million, very small foreign exchange effect, overall net cash increase of some $8.4 million and a closing cash balance just under $60 million. Below that we have the tables setting out the CapEx breakdown, the important ones is some $24 million of CapEx, $9 million related to the Didipio underground. The [indiscernible] which is in progress and the first class training facility being built at the [indiscernible] was the pre-stripped for $8 million which is a combinations of stages 4 and 5, 6 in Didipio and Coronation in New Zealand. I'll pass now back to Mick to look ahead on the operations and then give a run down on the new acquisition.
Mick Wilkes: Thanks, Mark. Looking ahead in Philippines Q2 production is expected to be slightly lower than the Q1 and we do expect Q3 to be the softest quarter and the Q4 coming home strongly once again. And this is a direct function of the mine plan and the sequence of mining through the orebody and there are no surprises in this for us. The continued development of the underground you can see a picture of the portal there on slide number 13. The underground decline [ph] is up in development and of course we are continuing to develop the parallel. We are doing more Newmont drilling at Didipio to follow up on the recent interesting drilling results there, promising results and we continue the exploration of the Paco tenement as well as pursuing other tenements in the Philippines. Moving on to slide number 14, and looking ahead at New Zealand we do expect production at New Zealand to be steady and continue with good profit margins, lower fuel prices persist as well as does the weaker New Zealand dollar. We are spending NZ$8 million on exploration over the next two years at both Macraes and open pit and underground. We are advancing the Macraes gold tungsten project informally called the Round Hill project and that's showing some very promising results and hoping to complete a feasibility study by year end to deliver to the market. We are looking at options to optimize the Blackwater project, reviewing the mining method and the capital costs and the pictures on the left hand side of that slide on page 14 is showing you some of the targets along the strike on this extensive mineralized zone at Macraes where we're looking for these shallower materials the exist in the structure as per the open pit feed. Okay, now we'll move on to a discussion or presentation around the acquisition of the Waihi Gold Mine that we announced this morning. I'm very excited to announce this, it does enhance the portfolio, in particular in New Zealand and page number 17 shows you the OceanaGold Today pre-Waihi and this is a slide that I have shown many people over various presentations that we do and guidance for the year pre-Waihi of 295,000 ounces to 335,000 ounces; copper production around 23,000 tonnes and all-in cost of $770 to $840. Those figures will be enhanced by the acquisition of Waihi which we expect to bring on to our account - to our account at the end of this quarter. So quarter three and quarter four will have Waihi production and costs and revenues being accounted to OceanaGold. So page number 18 an overview of the Waihi transaction. Waihi does represent a high grade low cost asset in a stable well known jurisdiction to OceanaGold. It's a very good fit for our business and we've signed a non-binding letter of intent with Newmont to acquire Waihi for US$101 million. The transaction is subject to completion of the final due diligence and signing of the definitive agreement, which we expect to complete in the middle of May. The transaction is subject to overseas regulatory approvals and other customary closing conditions. We do have exclusivity with Newmont to execute the definitive agreement up until the 1st of June. Importantly the acquisition will be funded solely through our debt and cash facilities via an increase in the drawdown facility of the revolving credit, drawdown of the revolving credit facility we have in 15 [ph] banking syndicate. Moving on to page 19 and some of the parameters in more detail. OceanaGold signed a non-binding letter of agreement to purchase a 100% of the asset. This asset will include all of the exploration tenements and interests around the Waihi Gold Mine. Newmont is the sole owner of the mine and holds all the interest in multiple exploration tenements in the region. So we are buying the Newmont Waihi Gold Company, shares in that. The purchase price, as I mentioned is $101 million payable in cash. In addition there is a 1% NSR royalty payable on gold production from the tenement. Potential gold production from tenement immediately north of the pit called EP 51711 which has a highly prospective exploration ground, as a result of recent exploration activity and we will - that NSR royalty is capped at a maximum of 300,000 ounces of production. The definitive agreement OceanaGold and Newmont expect to sign that definitive agreement, subject to completing the final legal and commercial due diligence and obtaining Board approval about the middle of May. I do not see any barriers to achieving that timeline and of course the deal is subject to approval by the Office of Overseas Investment here in New Zealand. We have exclusivity up to the 1st of June. For financing we have drawn down $77.8 million as of the 31st of March from the existing revolving credit facility which has an amortized level of $175 million. We had cash, as Mark reported of around $60 million in undrawn facilities of $97 million giving us total liquidity at the 31st of March of 157 million. We have received highly confident letters from our banking facility to increase that credit facility back to the original $225 that we started with a few years ago and that we are highly confident in that being achieved by the date of signing the share purchase agreement. As I mentioned we need approval from the Overseas Investment Office and under Section 41A approval from under Crown Minerals Act. We do not expect any delays in those approvals as we have done it many times before. Moving on to the rationale for the deal, page number 20. This transaction strongly aligns with our strategy for value creation. It's a high quality asset. It generates substantial free cash flow, it is accretive to shareholders on an earnings per share and a cash flow per share basis. It synergistic because of the geography and style of mining and the size of the operation here in New Zealand. It leverages off the rich history of OceanaGold and Newmont in New Zealand. The Waihi Gold Mine has been around for 27 years. The gold field at Waihi has been exploited for over 100 years and it's a very large system that we believe will go for many years to come and there is plenty of potential for more production from this mine through further exploration and development. An overview of the asset on page 21. It comprises the Correnso underground mine and highly prospective tenement package. They have a highly experienced workforce with a proven track record of success and these skills will complement our own skills with OceanaGold, in particular the underground mine at Macraes and the underground mine being developed at Didipio. It has its conventional SAG and Ball mill configuration with a CIP circuit and the mill has capacity of treating up to 1.3 million tonnes per annum. Current reserves at 2 million tonnes of 5.52 approximately 360,000 ounces. We expect to increase that reserve with further exploration and development activity. The first quarter our cost as per Newmont guidance of $760 to $820 per ounce and that retaining ore production of approximately a 100,000 ounces a year through to 2018 based on current reserves and resources. In 2014 all-in sustaining cost at Waihi as published by Newmont was $697 per ounce. So it is definitely a high quality, low cost producer that fits very well in our portfolio and it is importantly is funded, fully funded through our existing and facilities that we have with our banks. Moving on to page number 22 and this slide shows you how the Waihi mine has continuously successfully increased its reserves despite having a relatively short mine life from one year to another. So recent historical production and reserves shows that track record of reserve replenishment over 27 years. So from 2007 to 2014 they had production of close to 100, up to 140,000 ounces a year, last year 130,000 ounces and reserves in 2007 of 500,000 ounces. They fluctuated between 360 down to 220, back to 360,000 ounces in 2014. So in that seven year period or eight year period they have produced almost 900,000 ounces and have maintained the same reserve base at the same time. So that proves that Waihi does have significant potential for further reserve replacement or replenishment. Moving on to slide 29 [ph], a quick geological lesson on Waihi. It is a low sulphidization epithermal gold and silver deposit. These relatively high grade gold imports within andesitic to ryholitic volcanics, and they are steeply dipping. So well suited to underground mining and displays and stock works [ph] that are in the shallower areas for good open pit mining methods. Typically the veins are one to five meters wide so invariably these veins are wide enough for normal low cost underground mining methods. You can also see from the pictures that there is an extensive array of gold veins in this area. The original [ph] Martha vein has been mined for over 100 years, the Empire vein similarly, Royal, the Trio underground mine which is being mined out was discovered in the early part of this century and started mining in 2004, the Favona similarly was another discovery made in the last 10 years and that mine is now being developed and mined out. And the Correnso vein you see there is the one that is just coming into production now, as also Daybreak and Union and Amaranth, which are due to be developed in mine and there is extensive potential for further development of the open pit in the region of Edward through the west of the open pit and also some potential for the opening of the pit to the east. So it's an extensive system and by no means fully explored. Moving on to page number 24 recent production and costs from 2009 to 2014. You can see the production there is offlining around 100,000 ounce as a year with production peaking at a 130,000 ounces last year and all-in sustaining costs last year of just about $700 per ounce. So very competitive and high quality assets. Page number 25 shows the Correnso underground mine and just some more specifics around that, significant upside potential there. The capital expenditure commenced after permitting by the Newmont board and all the way through last year, reserves of 900,000 tonnes 9.1 grams. In Correnso itself there is additional resources that will go into the mine plan of a 105,000 tonnes or 37,000 ounces of gold. All the infrastructure is in place including sufficient capacity in facilities and underground access and of course the processing plant. It is fully permitted and is as I mentioned it’s going into start production next month. Ore development commenced in January, producing 20,000 tonnes of over 10 grams. The method for those of who have the mining inclination is the modified Avoca stoping method, utilized with long haul open stoping and backfill. Capital expenditure as of the 31st March was 35% complete with [indiscernible] spending remaining and that will occur before the 30 of June. Currently production is expected to 10,000 to 12,000 ounces per month in the second half of this year. As I mentioned earlier there has been a particular failure at the Martha Open-Pit recently but the underground mining operation which we are purchasing is unaffected by that and the Open-Pit operations are suspended indefinitely subject to further review. Moving on the page number 26, and the significant exploration upside at Waihi. The tenements of Waihi are in very prospective ground notwithstanding the challenges that still exist in the Northern part of the Coromandel [ph] peninsula, that the Waihi group within five kilometers has the very prospective EP51771, or called the Waihi North. It has the Martha Open-Pit Phase 5 which is immediately to the west. There are surface expressions of the number nine vein and Favona pit that we believe will add to more upside reserve growth at Waihi over the coming 12 months. I mentioned the residual reserves at the Martha open pit of 65,000 ounces and that is suspended indefinitely with further review - under further review and there is a joint venture with Antipodes Gold at Waihi West with Newmont - sorry Newmont Waihi Gold, the asset, the entity that we are purchasing that’s farmed into around 60% of. There is the Hauraki joint venture within 22 kilometers from Waihi that Newmont Waihi Gold has 65% and Antipodes Gold has 35% and then it’s already 260,000 ounce resource on that - in that property. So a very extensive exploration potential in this area. We intend to invest in exploration and development work at Waihi and as we take ownership of the assets and we will be looking in the first instance to do an optimization in the Waihi operation itself which I hope to complete by the end of this year and restart exploration at Waihi mine looking for the new mine resources. Moving on to place 27 and really trying to blend in how Waihi fits into our overall picture. As you know Oceana has a long and rich history of operating systemically in New Zealand and we have 24 years of operating experience at Macraes. We have a very comprehensive understanding of the regulatory and social frameworks in New Zealand. We have a valued relationship with their communities in which we operate here in New Zealand and indeed in the Philippines, we have very experienced managerial and technical people in New Zealand and across the company that will make this transition as smooth and as risk free as possible. And we do operate one of the most efficient operations at Macraes with low mining and processing cost and we hope to extend that expertise to our new acquisition at Waihi. The current New Zealand portfolio, so new economic conditions have increased the profitability and medium term optionality in New Zealand. This guidance particularly is the report excluding Waihi and there is about - we won’t release any guidance numbers for Waihi in the short-term but I can tell you that it’s sort of 50,000 to 70,000 ounces of production in the second half of this year and as I mentioned earlier 100,000 ounces of production on average over the next four years at-in cost around that $800 per ounce mark. The recent drilling program is stepping up the development and increasing the mine life at Macraes targeting additional resources and mine life extensions with good margins. In addition we’re progressing the organic growth opportunities at Blackwater and Macraes gold tungsten project and this is providing additional development opportunities. So for me and us at Oceana, Waihi does represent a completion of the jigsaw puzzle where we’re getting additional - the second largest gold mine in New Zealand being added to our existing portfolio and really strengthens the New Zealand business. Turning on the page 29, we’ve got Macraes and Frasers production upside, which is adding to the mine life. The immediate organic growth opportunities in Macraes, new drilling programs, low strip ratio mining being targeted at Macraes open pit, at Frasers underground we are continuing to show good promise for extension of mine reserves and mine life there and the studies at others I talked to that. One thing I would like to draw your attention to in considering this New Zealand business of OceanaGold with the new New Zealand business on page number 30 is we put together some trading comparables for our New Zealand business compared to some of our peers who have similar metrics, so we showing market cap through to all-in sustaining cost, mine life, total reserves et cetera. You can clearly see that our New Zealand business with - as it exists now and with the inclusion of Waihi does show the compelling value for our shareholders and for example you compare us to a company like Saracen, Australian listed company that has production of a 150,000 ounces a year and all-in sustaining cost of $900 per ounce and a five year mine life and has market capital of almost US$300 million. And that’s the sort of value that we think New Zealand should be achieving into those market. So the Waihi transaction the balance sheet on page number 31, modest gearing post acquisition with robust liquidity position. The current gearing position and cash of $60 million, debt of $78, million available liquidity of $157. Post-acquisition we’re looking at cash at $60 million, debt of $179 million and available liquidity of $105 million. So gearing levels will remain low, we continue to have a robust liquidity position, post-acquisition, maintain a strong relationship with our creditors and the banks and the strong cash flow being generated from our existing business and the Waihi asset will continue to reduce our gearing levels post acquisition. This means that there is plenty of funding capacity for further growth opportunities. So just lastly to round it up on page number 32 and 33 we are an outperforming mid-tier company, we are low cost dividend paying mid-tier producer generating significant free cash flows, we operate tightly and efficiently, we spend capital judiciously, prudent investment for value creation opportunities enhancing shareholder wealth. The delivery of Didipio has been a great success. The underground is underway the power connection is due in this quarter. This transaction delivers strong increase in our the gold production while reducing our all-in sustaining cost and replenishes resources through exploration and accretive acquisition and re-invigorating the low cost generative portfolio in New Zealand. So just lastly on page number 33, OceanaGold with Waihi, this is what it looks like, the exploration in the Philippines and Paco and near-mine and pursuing other tenements in that country, we have exploration in Macraes we have the Macraes gold tungsten project, we have the Blackwater project, we have exploration, significant exploration on Waihi and of course we are still advancing our project in El Salvador. So, ladies and gentlemen, thank you very much for your time. I’m happy to take questions and I’ll pass back to the operator.
Operator: Thank you. [Operator Instructions]. Your first question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: Thanks, I think few small questions. First of all with Waihi, looking at the plan of all little veins over there I am just wondering how sustainable that all-in sustaining cost guidance is that $800 bucks announced is if you’re costly chasing the things like that is it not a reasonable cost to get them and is that 800 bucks announced a sort of historically all-in sustaining cost or is to some extent the capital hold out because you are going to exploit what’s already accessed?
Mick Wilkes: We think there is significant opportunity for discovery there and these tops and put deposits do need ongoing investment but and it is fairly cyclic, but I am confident that these all-in sustaining cost are of that [indiscernible] number over the life of the cycle. And we do see opportunities for significant cost reductions at Waihi when we look at the operation. And in particular we see this as being a much - a very good value creation opportunity for our shareholders because this asset will be a top tier asset for Oceana whereas within Newmont it didn’t get the attention, not unexpectedly, that it would normally get because of its size and compared to the other assets within a major gold mining company. So we see great opportunity to both reduce cost and to increase the resource and reserve base significantly and we will be investing in that over the next 12 months. And we’re very confident that those all-in sustaining - it’s a tier 1 cost producer in the longer-term.
Michael Slifirski: Okay, thank you. And simply with respect to some synergies I think you saw financial synergies with the other New Zealand operations, some post that the write down of Macreas, are there any sort of tax loses that wouldn’t have being utilized by Macreas, that can be used to protect this from some cash tax from - for any period?
Mick Wilkes: We will look at those financial synergies between existing operations in that one and look for consolidation and when we review the detail of the business we will be looking at opportunities for improved commercial outcomes as well. So clearly there’s some opportunities in that regard around tax assets and we’ll be looking at those. But we don’t have any commitments at this stage. And importantly the acquisition was done on the basis on after-tax basis and we will review that and it has been value created on that basis alone. So anything else is an improvement on that.
Michael Slifirski: Okay. Thank you. And then finally couple of operational ones At the Didipio post the modification of the mill to improve the crushing utilization. What sort of throughput rates you’re seeing there?
Mick Wilkes: Getting up to around 11,000 tonnes a day which is pretty good.
Michael Slifirski: And what does that sort of translate to as an annualized figure.
Mick Wilkes: Somewhere between 3.5 and 4 Michael.
Michael Slifirski: Thanks. We will see, that’s very helpful. Thank you. And finally the Macreas exploration initiative, looking for those strike extensions, the strike extensions what’s your expectation because presumably that opportunity has always existed is this of just incremental add-on stuff of six months to a year or is this something more significant?
Mick Wilkes: Well, it is the incremental stuff and I think in previous exploration it’s been limited by funding and whatever funds they did have for exploration in the past has really been focused on extensions to the existing pits or finding the next large ore body that could be mined from surface or underground. So we’re really targeting in the past the higher grade [indiscernible] along the structure. What we’re looking at is the stuff which is hanging on but closer to surface that would otherwise been seen too small to be really make a difference. But we - I was up there yesterday at Macraes and already the guys are fairly confident about adding couple of years of mine life to the Open-Pit from the improvement we’ve done already.
Michael Slifirski: Terrific, thanks
Operator: Thank you. Your next question comes from Matthew Hawkins from Deutsche Bank. Please go ahead.
Brett McKay: It’s actually Brett McKay. Hey, how are you doing Mick.
Mick Wilkes: Quick good.
Brett McKay: Could you just outline what do you expect to spend at Waihi over the next say 12 months seeing on board and [indiscernible] most of the capital development that is being completed there but on an ongoing basis what’s the level of ongoing capital spend and also exploration spend?
Mick Wilkes: I don’t have an answer for you on expected capital spend because we’ll have to do the optimization study and look at the mine plan in total. But you could expect some more capital development to increase the size of the reserve at Correnso. The exploration - we’re looking to probably around $5 million a year in New Zealand for ongoing exploration at Waihi. That is consistent with the current spend there
Brett McKay: Okay. Thanks. And you mentioned cost reduction opportunities, I mean it’s been a feature of somewhat smaller companies taking over large company’s assets. Have you been able to sort of quantify or partly access where the opportunities lie and how material they might be?
Mick Wilkes: Well, when we look at all the options David obviously its productivity, the mining right and it’s the input cost. The very obvious of course is the all the mining operations at Waihi are done through contractors at the moment and we have a very deliberate model to go and we are mining wherever possible and where it makes sense. So we’ll review that in the first instance to see how we can increase productivity and reduce the cost base from the mine. There is also synergies in relationship procurement and supplies consumables and such as cyanide and [indiscernible] and things like that and not to suggest that we can get a significantly lower price than a major gold mining company because they would achieve some pretty good results here in the price and we want to leverage of that knowledge and in those supplier relationships.
Brett McKay: And maybe just finally what’s the current mill throughput rate?
Mick Wilkes: It’s constraint because of the ore feed. They completely shut-down a month ago and I think the mining life for the underground is about 600,000 tonnes a year, whereabouts.
Brett McKay: Okay. Is there an opportunity to maybe develop or open up another one of these exploration opportunities over the course of time and filling a bit of gap up to the 1.3 or you expect it to run at that lower rate at least for the next few years?
Mick Wilkes: Well, we do see great opportunity to discover more orebodies, to be mined underground and we’ll release the results of that hopefully over the next six months. And we also see opportunities to do an extend Open-Pit operations but that is subject to getting consent and permits in New Zealand and obviously now this operation is in the - at Waihi itself so those permit do take a bit of time but we are confident to continue the good work and the success that the existing management of Waihi have been able to achieve. So in time we expect to be able to fill that mill and increase production.
Brett McKay: Just one final one. What was spent on the Correnso underground development, do you know?
Mick Wilkes: I don’t have that figure off the top of my head, Brett, sorry.
Brett McKay: Okay. Thanks very much.
Mick Wilkes: Thank you.
Operator: Thank you. Your next question comes from Reg Spencer from Canaccord. Please go ahead.
Reg Spencer: Good morning guys. Most of the questions I had have been answered. I’ve just got one. Is there any material silver in the reserves base there at Waihi or its predominantly gone?
Mick Wilkes: Yeah. Reg, there is significant amount of silver there. The highest silver gold ratio is actually in the Open-Pit reserves, which as I’ve said have been suspended for the time being. The silver gold ratio in the underground, I think is around one-to-one. So we generated - we had 100,000 ounces silver a year as well as gold.
Reg Spencer: All right. Thanks for that Mick.
Operator: Thank you. [Operator Instructions]. Your next question comes from Raj Ray from National Bank Financial. Please go ahead.
Raj Ray: Mick, can you throw some color on per ton mining cost at Waihi?
Mick Wilkes: Yeah, I look on the mining cost to the underground at the moment to around NZ$120 per ton which is significantly higher than what we currently spend at FRUG but we have to recognize that it is different mining method, it does have backfill which we don’t have at FRUG. But we do see significant scope to reduce that number.
Raj Ray: And what’s the total operating cost in terms of per tonne?
Mick Wilkes: I don’t have that number off the top of my head so Raj, I will have to get back to you on that.
Raj Ray: Okay. Thank you. That’s it from me.
Operator: Thank you. There are no further questions at this time. Please proceed.
Mick Wilkes: Thank concludes the presentation for today. On behalf of the rest of the team at OceanaGold and I would like to thank you for your interest and participation. And should you have any further questions please contact the company directly. Bye for now.